Operator: Hello, and welcome to Banc of California’s Third Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Today's call is being recorded and a copy of the recording will be available later today on the company's Investor Relations website.  Today's presentation will also include non-GAAP measures. The reconciliation for these and additional required information is available in the earnings press release. The referenced presentation is available on the company's Investor Relations website. Before we begin, we would like to direct everyone to the company's Safe Harbor statement on forward-looking statements, included in both the earnings release and the earnings presentation.  I would like to now turn the conference over to Mr. Jared Wolff, Banc of California's President and Chief Executive Officer.
Jared Wolff: Good morning, and welcome to Banc of California's third quarter earnings call. Joining me on today's call are Lynn Hopkins, our Chief Financial Officer, who will talk in more detail about our quarterly results; as well as Mike Smith, our Chief Accounting Officer; and Bob Dyck, our Chief Credit Officer, who will all be available during Q&A. As noted on our earnings call for the second quarter, we expected our third quarter to demonstrate the earnings momentum we had been building toward, following nearly 18 months of restructuring. I'm pleased to report that we executed well and delivered strong operating and financial results that we anticipated in the third quarter. We will get into more detail later in the call, but here are just a few highlights of the positive results we generated on many fronts this quarter.  We had significant improvement in our level of profitability, generating net income available to common shareholders of $12.1 million or $0.24 per share this quarter, and $19.4 million in pre-tax pre-provision income. Our net income benefited from a lower than normal tax rate which Lin will detail later. Adjusted for a normalized 25% tax rate, net income available to common stockholders would still have been strong at $9.9 million or $0.20 per share.  We were able to maintain a stable net interest margin due in large part to our continuing ability to improve our deposit base as we record our fifth consecutive quarter of DDA growth, while further lowering our cost of deposits. We've continued to reduce our cost structure without impacting our ability to service existing clients and bring in new business. And we're actively managing and monitoring our asset quality, with the majority of our deferred and non-SFR loans, returning to the regular payment schedules, in the firm is dropping to just 5% of total loans at the end of the third quarter from 11% at the end of the second quarter.  With the improvements seen in our deposit base, operating efficiencies and asset quality, our third quarter performance underscores many of the attractive characteristics of our franchise that we've been building, and that we expect will drive further improvement in our financial results going forward. We've kept a sharp focus on credit quality, closely monitoring our loan portfolio and actively reaching out to our clients.  Our loan portfolio continues to hold up well, and our exposure to areas most impacted by the current crisis remains limited. With a well underwritten credit portfolio, predominantly secured by Southern California real estate with relatively low loan to values and strong debt service coverage ratios, we're seeing encouraging asset quality trends with limited loss exposure, a decline in problem loans and a significant reduction in loan deferrals. This trend contributed to a lower level of provision expense this quarter following our significant reserves built during the first half of the year, and the rapid decline in deferrals. In addition, our conservative approach continues to keep us very well capitalized with a high level of liquidity. Even with the progress we have made, we still have several opportunities to improve operating leverage to further enhance financial performance, many of which are timing dependent, and will benefit us in quarters to come. In the third quarter, the most notable progress came in the continued improvement in our deposit base, our mix of earning assets and our operating efficiencies, all of which led to a higher level of earnings and improved returns.  Our total cost of deposits continues to decline, as we successfully expand existing client relationships, and bring new business customers to our service platform, which is further shifting the deposit base toward lower cost relationship based deposits. Our total cost to deposits is 39 basis points at the end of the third quarter, down 20 basis points from the end of the prior quarter. At the same time, we've been able to effectively protect our average loan yield, as we have relatively limited exposure to repricing within our existing portfolio, given the level of fixed rates in hybrid loans, which are not scheduled to mature or reprice for at least two years.  As a result, our average loan yield was relatively stable in the third quarter, declining just two basis points from the prior quarter. The lower deposit costs and relatively stable loan yields helped us to offset pressure on yields in the securities portfolio. We held our net interest margin steady at 3.09% for the quarter. We also continue to see the positive impact of our actions to reduce our cost structure. On an adjusted basis, our non-interest expense declined by more than $2 million from the prior quarter, resulting in further improvement in our efficiency ratio and our ratio of non-interest expense to total assets.  Positive trends we're seeing in these key areas resulted in the strong earnings improvement this quarter. Simply put, despite the very challenging operating environment relative to 2019, we are now making more money with a smaller balance sheet. The financial performance this quarter is a result of the significant changes we have made and the type of customers that we bank, the talent we have added at all levels of our organization, and the strong execution on the strategies we have identified to enhance franchise value. And importantly, having solidified our foundation through the strategic actions we have taken over the last 18 months, we are very pleased we were able to deliver results that clearly demonstrate our improved earnings power.  While the operating environment created by the pandemic remains challenging, we are seeing some encouraging signs within our markets and in the financial health and behavior of our customers. Most of our commercial borrowers that received a loan deferral have returned to the regular payment schedules and we have had very few require a second loan deferral.  Loan deferments and forbearances increased by 53% from the end of the second quarter. Deferments are lower across the entire portfolio, with commercial deferments decreasing from $440 million to $145 million and SFR forbearances decreasing from $164 million to $138 million. Of these balances in September 30, the majority of the loans are on a second deferment or forbearance period.  We're also beginning to see some clients utilize the liquidity they had built up in their deposit balances during the first half of the year to fund transaction and investment opportunities. For the most part, though, we were able to offset these deposit outflows through the acquisition of new clients and the expansion of existing relationships, which kept our deposit balances relatively stable. During the third quarter, newly opened DDA accounts contributed more than $340 million of low cost deposits. The deposit engine that we have built continues to produce strong results with contributions coming from all of our business units, private, and specialty banking, community and business banking and commercial real estate banking.  Our lending teams are also gaining traction and we are bringing in new loan relationships to help offset the planned runoff in our single family portfolio. As a result, our total loan balances increased at an annualized rate of 4% during the quarter, while the mix in the portfolio continued to move in the desired direction. At September 30, loans to commercial customers increased to 78% of our total loans, up from 75% at the end of the prior quarter and 71% at this time a year ago.  As I've said in the past, our goal is to show progress each quarter and keep moving the ball down the field in terms of improved operating leverage, quality deposit growth and higher earnings. We clearly did that this quarter and improved our franchise value in the process.  Now I'll hand it over to Lynn, who’ll provide more color on our operational performance and then we'll have some closing remarks before opening up the line for questions.
Lynn Hopkins: Thank you, Jared. First, as mentioned please refer to our investor deck, which can be found on our Investor Relations website, as I review our third quarter performance. I'll start by reviewing some of the highlights of our income statement before moving on to our balance sheet trends.  Net income available to common stockholders for the third quarter was $12.1 million or $0.24 per diluted share. Our adjusted pre-tax pre-provision income was $18.9 million, an increase of $2.8 million from the prior quarter. As Jared mentioned, our net income benefited from a lower than normal effective tax rate, which I will detail later.  Adjusted for an effective tax rate of 25%, net income would have still been strong at an estimated $9.9 million or $0.20 per diluted share. Total revenue declined $1 million, or 1.7% compared to the prior quarter, as a 1% increase in net interest income was offset by a decline in non-interest income. The decrease in non-interest income is due primarily to a gain on sale securities of $2 million in the prior quarter versus none in the third quarter. The $0.5 million increase in net interest income was due mainly to lower funding costs, more than offset by a decline in interest income.  Our net interest margin of $3.09% was unchanged from the prior quarter, as a decline in our cost of funds was largely offset by our lower yield on average earning assets. Our earning asset yield declined 20 basis points, due primarily to our CLO portfolio repricing down into the current market, as well as the impact of temporary excess liquidity being held in lower yielding assets. The average yield on our $686 million CLO portfolio declined from 3.22% in the second quarter to 2.16% in the third quarter.  However, with LIBOR beginning to stabilize, after the significant declines earlier this year, we anticipate limited repricing pressure on the CLO portfolio yield in the fourth quarter. Our average loan yield declined by just 2 basis points from the prior quarter, due in part to lower yields on SBA loans as we extended the estimated average life of our PPP loans to 12 months from 9 months. The change in the estimated life is to provide additional time to account for the government's delay in processing forgiveness applications.  As of October 16, about 25% of our PPP loan count representing about 30% of our PPP loan dollars were in the forgiveness process. We are actively working with our clients to help them through the forgiveness process, and using the opportunity to deepen relationships and identify additional lending opportunities. We will continue to monitor our estimated life relative to the government's ability to manage the forgiveness process. As Jared highlighted our period end total cost of deposits fell 20 basis points to end the third quarter at 39 basis points. The average total cost of deposit for the quarter was 51 basis points, or 20 basis points below our second quarter average. Looking ahead, we have $541 million of CDs and FHLB advances maturing over the next six months with the weighted average rates of about 1.6%, which will further reduce our cost of funds. With our cost of funds likely to continue trending lower and considering our meaningful opportunities to deploy excess liquidity into loans, we see the potential for NIM expansion in the fourth quarter.  Non-interest income decreased $1.6 million to $4 million. As I mentioned on our last call the three year earnout from the sale of the bank's mortgage banking division, which contributed average quarterly fee income of approximately $800,000, completed in the second quarter, which lowered our other income.  In addition, the prior quarter included a gain on sale of securities of $2 million, while the current quarter included a gain of approximately $300,000 on the sale of $17.8 million of loans held for sale. We continue to drive operating efficiencies as core expenses declined to $40.7 million for the third quarter, a 13% decrease from the same quarter last year, and a $2.1 million or 5% decrease from the prior quarter.  The most significant contributors to the declines in the last quarter were lower salaries and benefits expense, lower advertising expense, and lower legal settlements expense, the latter of which were included in other expenses. Based on our actual and projected level of earnings and tax differences for 2020, we've made a change in our estimated effective tax rate for the full-year to a negative tax rate ranging from approximately 10% to 15%.  As a result of the change, the effective tax rate applied in the third quarter was 13%. We expect our fourth quarter effective tax rates to be approximately 25%. Turning to our balance sheet, our total assets decreased by $32 million in the third quarter to $7.74 billion. Towards the end of the third quarter we reduced a portion of our excess liquidity to repay maturing brokered deposits, and this temporarily reduced the size of our balance sheet. But as we selectively add high quality earning assets in the future, both in terms of loans and investment securities, we have the flexibility to add overnight and other wholesale funding if needed to strategically support our growth in earning assets.  Our growth loans held for investment increased by $50 million during the third quarter as growth in C&I, CRE and multifamily loans more than offset ongoing run off of our legacy single family residential portfolio. The investor presentation includes updated details on our loan portfolio. The portfolio continues to be largely weighted towards real estate loans which are supported by high quality collateral and underwritten with strong debt service coverage and low loan to value. We continue to closely monitor credits in all sectors within our portfolio, we’ve very limited exposure to the sectors that have been most impacted by the pandemic.  Deposits were relatively flat at $6 billion at quarter end. But our mix and cost continues to improve as a result of our very focused initiatives. The activity included a $90 million decrease in brokerage deposits, offset by a $59 million increase in non-interest bearing deposits, and a $26 million increase in other interest bearing deposits. Non-interest-bearing deposits represented 24.1% of our total deposits at quarter end, up from 23% at the end of the last quarter.  Demand deposits, non-interest-bearing, plus low cost interest checking increased by 8% from the prior quarter, representing our fifth consecutive quarter of DDA growth, a goal we remain very focused on to drive franchise value. Over the past year, demand deposits increased to 58% of total deposits, up from 45%, reflecting the significant improvement we have made in our deposit base. This increase, combined with the lower rate environment and our proactive efforts to reduce deposit costs, and bring in new relationships drove our all-in average cost of deposits down from a 148 basis points a year ago to 51 basis points achieved this quarter.  The securities portfolio increased $70 million to $1.25 billion, driven mostly by security purchases of $48.5 million and lower net unrealized losses of $23.9 million. We ended the quarter with a slight net unrealized gain of $1.8 million. The composition of our portfolio at the end of the quarter was 88% in AAA and AA rated securities and the remaining 12% in BBB corporate securities. A majority of the BBB rated securities are subordinated bank debt investments.  For the second consecutive quarter, tighter credit spreads reduced the unrealized loss in our CLO portfolio. The improvement in pricing this quarter added $0.25 to our tangible book value per share relative to the prior quarter. As the economy stabilizes and the CLO spreads continue to narrow the improvement will contribute directly to our tangible book value.  Next, a few comments on asset quality. Credit quality overall continues to show resiliency in spite of the challenges created by the pandemic. We are pleased by the trends in our loan deferrals that Jared highlighted earlier. Delinquent loans decreased $12.2 million in the third quarter to $83 million or 1.46% of total loans at September 30. Non-performing loans decreased $5.8 million to $66.9 million as of September 30, 2020.  However, $31.5 million or 47% of this balance represented loans that are in current payment status but are classified non-performing for other reasons. The $5.8 million decrease is a net number and included $10.2 million of secured loans since last quarter, offset by $4.4 million of new non-accrual loans.  The quarter end balance includes three large loan relationships totaling $34.9 million or 52% of our total non-performing loans. These consist of one, $16.1 million legacy shared national credit and $9.1 million single family residential mortgage loans with a loan to value ratio of 58% and a $9.6 million legacy relationship well secured by commercial real estate and single family residential properties with an average loan to value ratio of 51%.  Aside from those three relationships, non-performing single family residential loans totaled $17.7 million and the remaining non-performing loans totaled $14.3 million. Based on our current discussions, we believe that it is likely a resolution will be reached during the fourth quarter on our largest non-performing loans, to $16.1 million shared national credit without any additional reserve requirement. All things being equal, this would put us in a good position to once again show improved asset quality at the end of the year.  Let me turn to our provision for the quarter briefly. As we've discussed in the past, our ACL methodology uses a nationally recognized third-party model that includes many assumptions based on our historical and peer loss data, our current loan portfolio and economic forecasts. Economic forecasts published by our model provider, which include numerous assumptions, have improved modestly since the second quarter. Accordingly, the forecast component of our ACL methodology did not drive additional provision expense in the third quarter.  This, combined with the improved asset quality metrics and modest loan growth, resulted in our third quarter provisions for credit losses being just $1.1 million. Following the provision expense recorded in the third quarter, our total allowance for credit losses totaled $94.1 million, which represents an allowance to total loans coverage ratio of 1.66%. Excluding the PPP loans, which have a 100% government guarantee, the ACL coverage ratio was 1.74% at September 30, while the allowance to total non-performing loans coverage ratio was 141%.  Our capital position remains strong with a common equity tier 1 ratio of 11.64% and has benefited from the strategic actions completed over the past several quarters. We will continue to be prudent and strategic with the use of our capital to maximize benefits to shareholders and to build franchise value while protecting our very well capitalized position at a time when the outlook remains uncertain.  As we've noted in prior quarters when the environment is supportive, there remains an opportunity to repurchase preferred stocks with a cost of over 7% with our current capital, or through other vehicles, such as the issuance of lower coupon tax deductible coordinated debt.  At this time, I will turn the presentation back over to Jeremy.
Jared Wolff : Thank you, Lynn. Looking ahead, as long as we don't have any meaningful setbacks related to the pandemic, we are optimistic that we will be able to make additional progress on our key initiatives to deliver continued improvement in financial performance. As we mentioned on last quarter's call, having completed our restructuring, we are now in profitable growth mode, albeit temporary due to the pandemic and a slower economic environment. We are carefully managing credit and will be prepared to grow more rapidly as the economy improves. But we believe there are still good opportunities to be had even in this more cautious environment.  Moreover, we expect to continue to make progress on improving our deposit base and managing expenses, as we did in the third quarter. And as we emerge from the current crisis and commercial loan demand returns to a more normalized level, we expect continued growth in earning assets to drive additional operating leverage, higher earnings and greater returns for shareholders. We will likely continue to see significant runoff in our single family portfolio, but our loan pipeline is steadily building and as previously communicated, we expect the balance sheet in terms of loans and investments to end the year more or less flat with the year end 2019. Looking at other areas of our balance sheet, we believe we have other levers that we can eventually pull that will positively impact our financial performance and create additional value for our shareholders. CDs that will reprice, preferred stock that we may redeem and CLO values we expect to continue to return to a more stabilized level to positively impacting our tangible book value per share.  To expand a bit more on these opportunities, as Lynn mentioned, we have significant amount of CDs maturing over the next six months. As always, our goal is to replace these deposits with lower cost CDs [ph]. But even if we replace them with CDs we're issuing at current rates will drop the cost of these deposits by at least 100 basis points.  We expect to optimize our capital. When permissible, we expect to take advantage of the opportunity to redeem preferred stock. Subject to regulatory considerations, initiating a stock repurchase program will certainly be on the table for discussion as well, particularly as our common stock continues to trade as a level that we believe would be good investment for our company. As we approach the end of 2020, we are very excited about what we've been able to achieve this year and the dramatic improvement we have made in the quality of our franchise. We are effectively managing through an unprecedented pandemic and have maintained good credit quality and capital strength, while continuing to provide an exceptional level of service to our customers during a challenging time. We've streamlined our operations and reduced expenses while continuing to invest in the right areas in terms of technology and talent, to help us build the foundation and culture of a deposit focused institution.  We are clearly seeing the results of our efforts in the quality and quantity of new client relationships that we're bringing into the bank on a daily basis. While the ongoing pandemic creates a level of near-term uncertainty, we believe that we are very well-positioned to generate earning asset growth, expand our net interest margin, realize additional operating leverage and deliver a higher level of earnings and returns for our shareholders as the economy strengthens. We have done so notwithstanding the environment and an improved economy will only accelerate that progress.  I want to thank our Banc of California colleagues for their tremendous effort and tireless dedication during these challenging times. Banc of California has become the standout bank in our communities thanks to their hard work and execution. Banc of California is the go to relationship focused business bank in our markets. Our team is proving day-in and day-out to both existing and prospective clients that Banc of California has the people, products and services to deliver an exceptional banking experience. Thank you for listening today. I hope that you and your families are safe and healthy, and I look forward to sharing more about Banc of California's progress in the coming quarters.  With that, operator, let's go ahead now and open up the lines for questions.
Operator: Thank you. [Operator Instructions]. The first question comes from Timur Braziler of Wells Fargo. Please go ahead.
Timur Braziler: Hi, good morning. 
Jared Wolff: Good morning. 
Timur Braziler: Maybe starting off where Jared left off, and looking at some of the remaining opportunities, you guys have done a good job in checking off a lot of the boxes that you outlined on slide four. Looking at the two remaining green marks there, the redemption of the preferred stock, we could start there. Is the conversation now is just what's the best option to replace it with or is there still a scenario on the table where you choose not to redeem that and keep that as part of the capital stack?
Jared Wolff: Well, good morning, it's nice to speak with you. We still intend to redeem our preferred stock and we'll likely find a way to do it, issuing sub debt. We do need regulatory approval to redeem preferred stock. And so any action that we take is subject to regulatory approval. The Fed has made it clear that banks -- they have -- my understanding is, based on everything that I've read, is that the Fed is not looking right now at allowing a bunch of banks to redeem capital. And so we just are waiting for the right time and when we think it's appropriate, we will approach them. We think that's something that we're likely to be able to do down the road.
Timur Braziler: Okay, would you take advantage of the attractiveness of the market now and issuing sub-debt maybe in advance of the redemption, or would that be more of a concern?
Jared Wolff: I think we would look at that. I mean, it's really hard to time it perfectly. And so market conditions being what they are, we're constantly looking at what would be a good option. But I think it would be too hard to time it to try to do both at the same time. So we're going to be opportunistic.
Timur Braziler: Okay, great, and then switching over to the CLO portfolio of the reduction in unrealized losses, that reduction of $23 million, was that entirely on the CLO book, and I guess what's the remaining negative mark in that portfolio right now?
Jared Wolff: Lynn, you want to address that?
Lynn Hopkins: Sure. So the improvement in the unrealized net loss in the portfolio that moved to a slight gain was not entirely due to the CLO portfolio. There was an improvement generally in the markets across all the securities, but the majority was related to CLO portfolio and it has the remaining net unrealized loss, about $17 [ph] million.
Timur Braziler: Okay, and…
Lynn Hopkins: And that's pre-tax, so after tax its little bit lower. 
Timur Braziler: Okay, thanks. So maybe looking out a little bit longer when more of that loss is recovered, can you just talk us through the transition out of that CLO book? Is that really as things mature, they just kind of replace with something else as a larger kind of broad sale on the table? Or is that going to be too detrimental to balance sheet levels where it is likely going to be piecemealed off?
Lynn Hopkins: Sure. So I think generally we recognize that we're working on a pretty low interest rate environment with a flat yield curve, to the extent that these are able to recover to their carrying costs, I think we would look to what other opportunities there are to transition out and to lower the concentration risk related to the CLOs on our balance sheet. That something that we've talked about. It is a goal. But I think from a transition standpoint, we would be needing to look at what other alternative investments would be available to us kind of on a risk-adjusted basis and what kind of returns we could get. I think we'll be opportunistic there as well.
Timur Braziler: Okay, great. And then one last one, if I could, just looking at the remaining level of deferrals, it seems like roughly half of that balances is in resi. I know you made the comment that majority of what's remaining is second deferrals. Are the resi deferrals also on the second request, or is that still a portion six months that was originally granted? 
Jared Wolff: No, they're either in the second request -- they're in second deferral, or they're in the process of being reviewed. SFR, as we've we it is managed by a third party, and it's a legacy kind of, non-core portfolio for us. And the consumer rules being what they are, it's -- you got to manage it, obviously, in a very different way. We're focused on it, though. I mean, we're constantly having conversations with our servicer to get our arms around the portfolio.  I think one thing that's really clear about the single family loans is, unlike some other deferments, you can't expect people after three months, six months, whatever the initial deferment period was, just to come up with a huge lump sum of money and make it make, a whole bunch of payments. And so if they were out of a job, they don't have the money. Or if they're on furlough, they don't have the money.  And so it was, as it relates to single family. Generally, what happens is you take the missed payments, and you put them at the end of the loan, and you're going to get paid on him at a re-fire sale. And then they start making their new payments, they pay at start of the new period going forward, current.  And so we manage that a little bit differently than then the rest of the portfolio. But I don't think there's a lot of lost content there. We're working really closely with our servicer, but yes, the answer your question is most of those loans are either in second deferment, or in the process of being reviewed for second deferment. There is a kind of a lag, it just depends on when it started, but most of them are, are moving to second. Bob Dyck, any comments there?
Bob Dyck: No, Jared, I think that's a very accurate representation. We have moved through most of the first deferral buckets, because as Jared said, they didn't all come on at once. And most of them have moved either into a second or under consideration. 
Timur Braziler: Okay, that's great color. Nice quarter. I'll step back there. Thanks. 
Bob Dyck: Yes, thanks Timur.
Operator: The next question comes from Matthew Clark of Piper Sandler. Please go ahead.
Matthew Clark : Hey, good morning. 
Jared Wolff: Good morning, Matthew. 
Matthew Clark : I'm sorry, if I missed it. I'm juggling between another -- two calls here. But the PPP related income this quarter and net interest income. Do you happen to have that number offhand? So, we can isolate a core NIM? 
Jared Wolff: Sure. Lynn you have that, I guess.
Lynn Hopkins: Sure. I believe it's $2.1 million is the fees that came to interest income this quarter. At that positively impacted our net interest margin 11 basis points. 
Matthew Clark : Okay. Got it. And then on the pipeline, both loans and deposits, can you give us an update there? Where are you seeing new business opportunities on the commercial side? And again, both on the deposit side as well? 
Jared Wolff: Sure. So look, we had a great quarter and the pipelines are building as we thought that they would. We're seeing a lot of opportunities, continue to see opportunities in multifamily on the bridge side and, and on permanent financing. And we're taking opportunities there. We're seeing it throughout, all of our business units, in terms of good commercial opportunities for lending, lines of credit and in term loans, even some SBA opportunities as well. It's pretty balanced, opportunities in healthcare, opportunities in entertainment as things get back to normal.  So we're looking across all of our business units to show production. We still believe that we're going to be able to end the quarter at a place where the production outpaces run off in terms of outstanding. So, that we end flat or slightly up from the, the end of last year. And that will provide a really good platform, especially with our lower expense base to, deliver really solid earnings next year and, keep improving quarter-over-quarter.  On the deposit side, we're seeing the same thing. Even though we're starting to see some use of liquidity, as we mentioned, we're still we're bringing a lot of new relationships and new deposits. And so while the balances from our existing client base are going to fluctuate, that's being offset by new relationships that we're bringing in and deposit flows continue to be strong. I expect that this quarter we will show positive DDA growth as we have the last five quarters which we're really, really proud of.  Everybody in this company is very focused on delivering very, very high quality services and bringing new relationships in, in terms of loans and deposits and making sure that we have the most that we can from our existing clients. And we're actively managing that as well, as we're managing, looking very closely at credit.  I want to go back to the NIM for a second. Matthew, I think the NIM, it got hurt a little bit by the CLOs re-pricing. But we are bringing on loans at good yields. And it's hard to know exactly where it's going to end up. Because I would say that in this environment, because we're focused on quality, we're likely to go after the highest quality loans, which may mean that we're going to protect, which may have a lower yield. I just think, given the visibility down the road in terms of the economy and credit, if we're going to bring on loans, and we're going to grow, we want to do the safest type of loans right now.  That's not to say that we won't take someone's at higher risk. We're very selective about it. And so I do see the NIM holding-up. I think our deposit costs continued to drive down. I was pleased with how well our loan yield on originations actually held-up in the quarter. But it's hard to see kind of where things are going. But as of now, we believe that our NIM is going to hold and maybe expand a little bit. We still have so much room to go on the deposit side.
Matthew Clark: Great. And then along those lines, did you happen to have the weighted average rate on new production this quarter?
Jared Wolff: Yes, not sure what that is. Production yield for this quarter was around 4%, weighted average. Last quarter, it's hard to see because it was lower because of all the PPP loans that came on. 
Matthew Clark: Yeah. 
Jared Wolff: And I don't have it broken out without that in front of me. But it was around 4%, which, blended across everything that we're doing, I thought was pretty good.
Matthew Clark: Yeah, okay. And then just on -- I know, you guys have been cutting costs for quite a while now. That run rates dropped even further here, just under $41 million adjusted overhead ratio around 2.1%. I assume we're kind of hitting a bottom here. But knowing a lot of other banks are announcing all these cost initiatives. Just curious if you ever be if you still think there might be some incremental opportunities?
Jared Wolff: Lynn, you want to? 
Lynn Hopkins: Yeah, sure. Something here [ph]. I think you ordered it correct. I think there is opportunity -- incremental opportunities. I think we continue to look at expenses and, refine them and look for opportunities, whether it's operating efficiencies or leveraging technology, habits fit with our current objectives and operations. So I think there's probably some small opportunities that we're probably getting to where, we need to have an expense base, so that when things return to maybe more normal operations, that we'll be able to sort of leverage it when things return back to normal. 
Jared Wolff: I think we're at a pretty good, pretty good spot right now. We'll find incremental stuff we're at, we're constantly looking are constantly evaluating everything, as I've shared with our team, and our team is constantly looking at just because we've done something a certain way in the past doesn't mean we should be doing it that way in the future. And is that the most efficient way to do things. So we're constantly looking and we -- but we got to layer on we're earning assets on top of our existing base to keep growing earnings. And I'm confident we can do that.
Matthew Clark: Okay, thank you. 
Jared Wolff: Thanks, Matthew.
Operator: Next question comes from Gary Tenner of D.A. Davidson. Please go ahead.
Gary Tenner : Thanks. Good morning, folks. 
Jared Wolff: Good morning. 
Gary Tenner : Hey, real strong quarter. I was curious about as you're thinking about 2021, we've talked about kind of the journey to 1% ROA as sort of an interim term target or goal, 81 basis points this quarter, I think, but with a lower tax rate and pretty low provision. So just kind of as you're thinking about 2021, is the path to that ROA level still in front of you, do you think for next year?
Jared Wolff: I think we do. It's hard to know which quarter we're going to hit it in, but everything that I'm seeing suggests that we will. It's really about earning assets and putting them on. There's a tremendous amount of opportunity we have on the expense side still in terms of deposit costs. We have $500 million plus of CDs that are maturing, where we know we're going to be able to take out 100 basis points. We have some other mature -- we have some other deposits that are kind of time based with some larger relationships that are going to re-price. I talked about the preferred stock and incremental benefit that can give us.  So I think there's really a lot of leverage on in -- still in the numbers on the expense side and then in terms of putting on earning assets, I believe that our teams can do that. And so I see, that is achieving a 1% ROA on a normalized basis is something that we'll be able to do next year. Hard to know exactly, but we're certainly pushing really hard to try to get there.  The other thing is, just in terms of pure fundamentals, our tangible book value is just going to continue to climb. We still are finding plenty of opportunity of things that were missed in the past, that will be additive to our tangible assets. Not only are the CLOs going to continue to re-price as the economy improves, and we're obviously making money that's going straight to tangible value. But there's some legacy stuff that we're -- our teams have done an exceptional job of collecting on, whether they're reimbursements that the insurance company noticed that we didn't get, and things like that, that they've gone back and tried to find, whether it's litigation that we finally are resolving where we're the plaintiff, where we're going to get some money back for things that maybe have -- were charged off in the past.  So all of those things are going to contribute to tangible book value, which we're going to contribute to a higher share price, in addition to the fact that we're going to be expanding our earnings. So I'm optimistic about both of those things. 
Gary Tenner : Great, thanks for the thoughts there. And then just to clarify, I think you'd said that you expect -- year end loans to be flat year-over-year, is that -- whatever you said?
Jared Wolff: Yes, I think we think about earning -- quality earning assets. So in terms of loans and investments, because we bought a whole bunch of bank sub debt, and which was a good replacement for -- in our investment portfolio earlier in the year, I think in terms of the combination of loans and investments, should be flat to up at the end of the year, relative to the end of year last year, the variable there being cash which, at different points we run with higher or lower amounts of cash. 
Gary Tenner : Okay, so it sounds like though, actually, if I was to isolate loans, because of where we are right now, versus the end of '19, loans will be lower. But the overall combination of loans and investments you're saying likely up?
Jared Wolff: Loans might -- let's see fourth quarter of '19 -- go ahead, Lynn.
Lynn Hopkins: Let me make one comment. And I think we have some visibility into where we think there are growth opportunities. The one thing that the PPP loans, we only have about $260 million of those on our balance sheet at the end of the third quarter. We believe the forgiveness process may be starting, so expect that there would be some decrease actually, in that portfolio. I think that may somewhat drive the overall loan balance, in addition to other growth in our loan portfolio.  So to pinpoint that number, I think there is -- that's a little bit beyond our control. And as I mentioned in my comments, it's dependent on the governmental agency to help move that through the process. 
Jared Wolff: We are most focused on obviously, putting on high quality loans. And then where we have the ability, putting on high quality investments, and between the two of those earning enough to continue this company earning more and more each quarter. And so if we find really high quality investments that have a great duration and proper duration and integrate yield, then obviously, we're going to put those on as well. But we want to get this company to the right place from an earning asset perspective to make sure that we keep earning well going forward. 
Gary Tenner : Thank you.
Operator: The next question comes from David Feaster of Raymond James. Please go ahead.
David Feaster : Hey, good morning, everybody.
Jared Wolff: Good morning, David.
David Feaster : I just wanted to kind of follow-up on that earning asset topic. You guys have done a great job on the growth front. First of all, I guess, how much of the C&I was up [ph] this quarter, just curious how much of that was warehouse and what you're seeing on there? And then I guess as we look out to 2021, as the run-off of single family kind of abate somewhat and you continue to be that go to business bank, as you alluded to, are you thinking about loan growth as we head into next year? 
Jared Wolff: Well, let me take the second part first. I don't think we broke out what's warehouse versus other parts of C&I. So I don't think we have that in our publicly disclosed stuff that, like I said before, it was pretty balanced. I mean, we had production across all of our business units. And we feel good about it. Hard to predict in terms of next year. If you're trying to figure out kind of how the balance sheet is going to grow.  I mean it's really economy dependent. There's no reason why we would be growing slower than the economy. And certainly not slower than our peers. If the economy holds up in this environment, specifically we're taking a relatively conservative approach, and trying to go after the highest quality credits, because we feel we need the visibility to make good decisions, not knowing how long this pandemic is going to last. And so we're sticking to what we know and doing it well and trying to lend to the strongest borrowers. That's not to say we aren't looking at everything, we are.  But I think our pipelines are building. I really have a lot of confidence in our teams that have come here. They're working really hard to bring in new relationships and mine existing relationships. So David, I don't have a number that I'm throwing out there in terms of production for next year. But I know that we need to put on the highest level of earning assets that we can on our existing expense base to march toward and past a 1% ROA. And so if assuming the economy gets better, and provisioning returns to normal levels, I think that's what's going to happen. 
David Feaster : Okay. 
Lynn Hopkins: I would just add one comment, I think in the investor materials, we do provide some additional detail related to our C&I portfolio. So I think that's in both the second quarter and the third quarter. And you can see, I think the finance and insurance sector within our C&I portfolio. So the majority of the C&I growth is centered in the finance and insurance part of our portfolio, which includes our warehouse credit lines.
David Feaster : Okay, that makes --
Jared Wolff: And I would say, regarding warehouse, we haven't built our company around it. And we've said that we're going to make it an appropriate portion of our growth. But it's very favorable from a CECL perspective, in that it's very short duration. We've never had a loss in that portfolio, and our team is very experienced.  And I'd say that we get above average yields, because we focus on midsized mortgage bankers, as opposed to the largest folks. And we have several hundred million of very low cost deposits, below 10 basis points that come out of that portfolio. It's because we're lending to institutions that have their positive relationships with us. So it's very balanced. But we keep it within a size range, so that doesn't become -- kind of take over our portfolio. 
David Feaster : Okay. And then just kind of following-up on that a bit. I mean the path to margin expansion is pretty clear, right? I mean, through the positive pricing, you're getting good yields. The CLOs aren't a headwind. I guess, as you think forward, kind of where do you think the margin expands back to like, kind of what's your target for where we should get that then back to, based on the earnings power of your franchise?
Jared Wolff: Yes, it's a good question. So the way that we're trying to set the company up right now is to feel somewhat liability sensitive. Because we're obviously, emphasizing the ability to drive down our deposit costs, but because we're putting on non-interest bearing deposits and low cost check-in, from businesses that really neither have really much expectation of yield, because they're very service focused. That deposit base will not reprice when rates move back up, certainly not as fast as interest rates are going to move.  And we're putting floors on all the loans that we’re originating today. And so we expect to participate heavily in a rising rate environment. And we'll be able to take opportunity, more so than on the upside than the downside.  So in terms of where our margin would go to, it's a function of how quickly rates move. But in a -- I don't know why our margin wouldn't. I think we'd have to play with some scenarios, David, where interest rates relative today. Lynn, I don't know if you have any comments on that?
Lynn Hopkins: No, I think that's a good summary. And I think it would be difficult to pay a number. I think, we're working with the same interest rate environment and would take advantage of the opportunities to improve the mix and costs of deposits, through our business initiatives. And then, as Jared mentioned, I think those -- the loan pricing, the loan structure is important. And then, obviously, in a rising rate environment we'd expect stronger earnings growth, which would help with NIM expansion as well. But all things being equal, I think we're still in a good position to have some improvement there.
David Feaster : That's for sure. So okay, I appreciate that. And then just last one, so on the $89 million you guys have done a great job on the deferral front. Of the $89 million in CRE deferrals that are remaining, just curious whether there's any concentrations in there. Was there any trends that you noticed in there? And then I guess, as the second deferrals expire, how do you think about a potential third round for those borrowers that might need additional relief? Or would you rather just kind of put it on non-accrual or TDR at that point, and go ahead and work it out? 
Jared Wolff: Well, let me address that first and open up to Bob and Lynn. So when we look at putting a loan on deferral, and we're looking at second deferral, we're actively looking at whether or not that loan needs to be risk rate changed as well. So it's not a blind, it's on deferral, let's leave everything as it is. We're actively looking at the loans, and making sure that we're aware of any loss content to the extent that we can see it, and making sure that our risk ratings are appropriate.  So it's not just kind of a -- let's check it, let's look at it again in another couple months. That being said, we're also giving our clients if they have a path, and we're fundamentally a secured recourse lender. So we're looking at our borrowers, looking at their statements, we're looking at what collateral they have, if they have a path to recovery and fundamentally, it's been the pandemic that has kept them where they are, then we're working with them. And I don't think there's any reason we shouldn't.  The rules are there for a reason. And we're doing everything we can to help our borrowers in this time while still holding their -- holding the ground and making sure that we're not being taken advantage of and that we're working through things more -- as quickly as possible. In terms of -- we've been really giving three months deferments, not -- and kind of monitoring it every three months. So we're not doing longer deferments. I'll let Bob answer if there's any that I'm not aware of, but generally we've been doing three month deferrals. Bob, any color there on our deferment strategy?
Bob Dyck: Jared, you're absolutely right. Three months is our philosophy and our practice. That gives us an opportunity to, as you indicated, examine the borrowers and their fundamentals. And the phrase that you used I think is the most appropriate. We're looking at them to determine a path to recovery. If -- but David, to answer your question, if we get to a need for a third, it's going to be only considered if we do continue to see improvement and movement down that path to recovery. Otherwise, if it doesn't look like we're going to get there, it's better to deal with that problem right away. 
Jared Wolff: And then on the CRE, I do look at retail. On Page 20 of our deck, we have a breakout of what's in CRE and where we have concentration and what's it’s [indiscernible], whether it's office retail, multifamily hospitality, we have very low exposures as you know to the high risk areas. So retail is an area where I have a lot of focus. Our top 25 retail borrowers represent about 68% of our retail exposure.  As I mentioned last quarter, we were looking very carefully at that group. We went through every relationship and marked it red, yellow, and green. We have far more in the green category than we did last quarter. And so the migration of that group is moving along as we hoped it would. And so I feel good about it. Most of it is pharmacy and grocery anchored shopping centers that are with well-heeled borrowers. And so we're monitoring that very closely. But that's really kind of the CRE concentration that I would be most concerned about. Our office is holding up. As you know, we have very little hospitality.
David Feaster : Okay, thank you very much. 
Jared Wolff: Yeah, no problem, David.
Operator: [Operator Instructions] And next question comes from Steve Moss of B. Riley. Please go ahead.
Steve Moss: Good morning. Most of my questions have been -- Jared, most of my questions have been asked and answered here. A small one, just as we think about the balance sheet mix longer term, and obviously, you want to grow loans. I was just kind of curious how do we think about how large the securities portfolio should be relative to earning assets?
Jared Wolff: Lynn, what's the target that we've talked about there? 
Lynn Hopkins: So yeah, let me talk about that for a moment. There's been a lot of liquidity in the marketplace. So I think that generally speaking, cash and securities had probably a larger percentage than historically. So I think as liquidity is normalized, I would look for securities and cash to get a trend back down to between, call it, 10% to 15%, versus being above 15%. Given that a portion of our portfolio does have the concentrations of CLOs, and then we did invest in -- the triple B rated corporate debt is in that portfolio as well. I think it would probably be closer to the 15% versus driving down lower considering our own balance sheet liquidity.
Steve Moss: Okay, great. I'm sorry, go ahead, Lynn. 
Lynn Hopkins: No, go ahead.
Steve Moss: Okay. And I guess just maybe, one just on the provision here, and how do -- how should we think about expense going forward. I mean, obviously, the economy seems to be heading in the right way. So should we just think about provision perhaps in future periods, relatively matching charge-offs. Kind of curious as to any thoughts you may have there? 
Lynn Hopkins: I think, with the adoption of CECL, I wish it was just as simple as you have a charge-off, and then you get to fill the bucket again. We are going through a robust process, taking a look at the portfolio, the macro economic variables that drive the models, what does the forecast look like. Fortunately, for us this quarter, I think, not only do we have our positive asset quality trends, but also the positive economic forecasts.  We did have the modest loan growth, which we did factor into, and is reflected in the provision, but the provision is also a function of the mix of the loan portfolio. And some of the loan product has higher if you will, coverage ratios than others. So if I was to look forward, as the economy improves, I think we do have to remain cautious to the fact that we all recognize that the damage from the pandemic may have been not realized quite yet, and may be pushed into 2021.  So to the extent that we're participating in loan growth, I would expect that there would be some provisions and then we would have to address what the charge-offs are. But even in the absence of charge offs, I think we still could expect some expense as we grow loans.
Jared Wolff: Yes, I think everybody's getting comfortable with CECL and it's a little bit, models are still getting tweaked. [Indiscernible] tends to have a lot of power these days, it seems if you're using Moody's. I think that the pandemic is a huge variable here. And when people get back to work. We are not back to work in Los Angeles, in terms of people being in an office environment. There are parts of Orange County which are, there are parts of San Diego, but LA fundamentally is still working remotely. And that's going to happen through the end of the year, most likely. And a lot of schools aren't back yet.  And I think that the longer this lasts without a major stimulus bill, I think the economy is probably going to suffer. And we obviously would get hit like everybody else. I think, based on the makeup of our portfolio, we're going to get hit pretty late because we're 67% secured by residential real estate. And that has held up very, very well in this pandemic and other difficult times.  But there'll be a lot of a lot of stuff to get to before us, but if it lasts long enough, we will too. Hopefully that's not the case. And hopefully more stimulus will be coming here if we don't have a vaccine.
Steve Moss: All right. Thank you very much. I appreciate that. 
Jared Wolff: Thank you, Steve.
Operator: Thank you. Ladies and gentlemen. This does conclude today's Q&A session and teleconference. You may disconnect your lines at this time and thank you for your participation.